Alessandro Dazza: Good morning to all of you. Thank you for joining us today to review our First Quarter 2022 Results. With me, as usual, this morning, Sebastien Rouge, our CFO. And as usual, I would like to start by sharing with you a few key messages, which characterized this first quarter. Sales, good month. Sales exceeded €1.2 billion. We benefited certainly from a good level of activity in most of our end markets. Volumes, overall, were flattish, reflecting a challenging context with I would say in general, positive activity everywhere with the exception of the causes of the Ukrainian crisis, the effect of the sanctions against Russia as well as lockdowns in China in relation to COVID-19 and the resurgence of the pandemic. These three factors alone has cost us around 1% of volumes in the quarter and we'll see this in more details later on. We have continued to increase our prices needed to offset extremely high inflation. All these efforts delivered in average for the quarter, a price effect of 12% compared to last year. I remind you that, this figure was 6% in Q4.While current EBITDA was solid with an increase of about 3.5% to €189 million for the quarter. Cost management, positive price clearly contributed to this performance. Again, I will comment in more detail later. Imerys posted a positive price variable cost balance in the quarter, which as we know is key for this company. Net current income for the quarter topped €76 million, also growing compared to last quarter. If we now look at organic growth at constant perimeter and FX, you can see that revenues continue to climb also in Q1 2022 with another quarter of double-digit organic growth at 11.3%. Just as a side note, the month of March was by far the strongest in the quarter, which gives I believe optimism for the future. On the right, our classic exposure to end markets, I will not further comment as we deep dive in the next few slides. So let's start with construction. You see world plus 1%. So yes, positive, but it slowed compared to past quarters. I said it before I believe the big recovery is behind us, although it remains on a positive trend. Europe, growth was capped for sure by shortage of workforce and raw materials. In the USA, the market was impacted by lower residential activity, but an increase or we see the first positive impact of this infrastructure plan of the government. Iron and steel, very soft quarter, many reasons, for sure the crisis in Russia and Ukraine, probably a bigger impact of rising energy costs still, and China. China dropped – posted another drop, dragging the entire Asian values down. COVID partly, CO2 restrictions and we know the construction market in China is going through a difficult cycle. These impacts, however, might bring positive news for producers in the rest of the world. In the next slide, automotive, very disappointing again in Q1. One of the lowest level in recent history, everywhere. Persisting shortage of electronic components and now also lack of wire harnesses coming from Ukraine, especially affecting Europe. Unfortunately, we believe the situation will last, clearly impacting our sales and our hopes of recovery. You certainly remember that, automotive remains an important market for Imerys. In Paper, after a very strong Q4, cost inflation and production issues are affecting the industry, with increasing difficulties, especially in Europe. Ukraine, again, having an impact. And an important strike in certain paper mills in Scandinavia had a negative impact. On the contrary, Asia is confirming a robust recovery. On the next slide, some more positive news. Consumer goods market continued to be supportive in the first quarter, as consumption remained solid. We will see what COVID resurgence in Asia, especially the lockdowns in China, will have as an impact, as well as the conflict in Ukraine with escalating inflation, especially in Europe, for the rest of the year to be seen. Difficult to estimate today. Energy, electronics and electric vehicle markets continue to be very dynamic, driven by high energy prices, as we all see and the green transition. In particular, electric vehicles market continued to show very strong growth in all geographies, boosting demand for lithium-ion batteries and therefore for our products. And there will be more in this presentation later on. If you now look at the next slide, one of the, I would say, key elements of the quarter, costs and prices. Imerys has managed to more than offset the extraordinary rise of inflation through price increases in the first quarter. I think it's an exceptional achievement, given the context and the rapidity of cost increases. You might remember, when we described Q4, this balance, though positive for the full year 2021, was negative in Q4 and to a lesser extent also in Q3. If you remember, we said we are catching up on the price side against a very rapidly increase in energy costs. As announced, we can confirm it today, we are back on track. We can show a positive balance in Q1, even though inflation has continued to accelerate also at the beginning of this year, in particular, energy and in particular in Europe. Our price efforts continued and grew constantly during the quarter, with an increase year-on-year of 12% in Q1. And if I may say again, an effect of 14% in March alone, so there is more to be embedded in our figures going forward. This being said, it remains a difficult environment. Maintaining a good relationship with our customer base is very important in the long-term and therefore, caution is the word in the market today. Still all this confirms Imerys' ability to pass through cost increases to the market. Last, let's have a look at the evolution of our current EBITDA. As you can see on this chart, current EBITDA continued to improve over time year-on-year, despite the COVID crisis in 2020, partly in 2021 a conflict in Ukraine, disruption in the automotive industry, extraordinary inflation. This shows really the resilience of our business model of this company, the agility of the group to react, to adjust to compensate when needed for any crisis as they come. And I'll hand over to Sebastien for a more detailed analysis of our figures. 
Sebastien Rouge: Thank you, Alessandro. Good morning, everyone. Let's go through some of the details of our financial performance, starting with revenue. The sales reached more than €1.2 billion, a 14.4% increase versus prior year. This was mostly driven by €130 million price increase. This corresponds to 11.9% price effect on sales. This has to be compared to 5.9% that we had in Q4, 2021, on the same indicator. You may remember that we initially targeted in average 8% price increase for 2022 and we went beyond these original expectations. The increase in revenue also includes a positive currency effect of €38 million, mainly reflecting the movement of US dollar against the euro. We have a small negative perimeter effect, reflecting the recent activity disposals serving the paper market, mainly our kaolin assets in North America and our FiberLean activities. At the end, volumes were very slightly negative, all of that being explained by the impact of Ukrainian conflict and some local lockdowns in China. It means that, as of today, the demand continued to be strong in spite of increased prices. If we look now into more detail at our two business segments and their respective markets. We start with Performance Minerals. This segment generates 54% of the group's turnover with sales of €659 million in Q1 2022. All geographies saw supportive trends with like-for-like revenues up 6.5% versus Q1 of 2021. This performance was achieved despite persistent logistical issues, in particular on sea freight and for us, in particular on the export routes from Americas to the rest of the world. If we look at the markets, on the positive side, the sustained activity was supported by sales of ceramic products in the construction industry, a better performance of filtration and agriculture markets in the consumer goods sectors. We also have noted an improvement in the paper and board demand in Asia. On the other hand, the automotive market continued to suffer from the global semiconductor shortage and of additional issues of supply in Europe due to the conflict in Ukraine. If we look now at our High Temperature Materials and Solutions segments. This second business segment recorded sales of €563 million in Q1 2022, representing 46% of Imerys' consolidated revenue. In the first quarter, the growth continued to be dynamic in all geographical areas with Q1 sales up 20% year-on-year organically, driven by significant price increase to offset inflation. The business continued to benefit from various commercial initiatives and the well-oriented underlying markets. Haznedar, a high-grade refractory monolithics and bricks manufacturer in Turkey that we acquired in December 2020, achieved a record quarter. In India, the new greenfield plant in Vizag, continues to ramp up and serve the dynamic domestic refractory and construction markets. So that we preempt what can be one of your questions. We wanted to give you some precision about our business in Ukraine and in Russia. The war in Ukraine and international sanctions against Russia are expected to have a limited direct impact on Imerys activities. Russia and Ukraine represents together approximately 1.5% of the group's consolidated revenue in 2021. Net asset value in the region represents less than 0.5% of the group's total capital employed. The status is the following. Imerys has suspended the activities of its two production sites in Ukraine and is seizing its activities in Russia, which are trade activities only. Since the beginning of the conflict Imerys' priorities have been to support its Ukrainian employees materially and financially, and to strictly and immediately apply international sanctions towards the designated customer. By far, the biggest impact is indirect with escalating inflation of energy costs in particular. I remind you that this cost represented 10% of the cost structure of the group in 2021. If we go back now at the consolidated figures and the profitability of the group as a whole, current EBITDA for Q1 2021 reached €189 million, up 3.4% year-on-year. This evolution reflects a strong price effect contribution of €134 million, which more than compensated for the €114 million net increase in variable costs, a consequence of extremely high inflation in particular in energy. We had a currency positive effect of €15 million. And we see a slight increase of €33 million of fixed cost and overhead, well in line with the sustained level of activity. As a result, current EBITDA margin is resilient at 15.6% in the first quarter weaker than in Q1 2021 in percentage terms but higher than what we saw in Q4 2021, which was at 14.9% at the time. If we look now at the other elements of our income statement, in absolute terms, the current operating income followed the EBITDA increase reaching €131 million [ph], up 3.8%. Net income from current operation group share totaled €76 million up 3.9% versus last year. Net financial result was negative € 9 million. Income tax in line with expectation with an effective tax rate at 27%. It means per share our net income from current operation also grew 3.9% to $0.90. Net income group share totaled €73 million in the first quarter of 2022 after also € 3 million of other income and expenses after tax mainly due to acquisition and divestiture costs and small targeted business reorganization. I now hand over back to Alessandro for the outlook.
Alessandro Dazza: Thank you, Sebastien. Let's look a bit ahead now. Imerys is continuing to invest for the future and we have launched three new significant capital expenditures projects, I would call them strategic for about €120 million in order to meet strong demand for our Specialty minerals solutions in green mobility, electronics and energy. All three will be commissioned in 2023. First, we will add another line - another production line each in carbon black and synthetic graphites in our plants in Willebroek and Bodio in order to follow the lithium-ion batteries and now growing fuel cells markets in the future. Long-term customer contracts very important have already been secured for both new lines. Last, we will build a greenfield plants of mineral solution for polymers lightweighting in Asia to capture significant growth opportunities again offered by the electric vehicles market in the region. This will be done at an Imerys site, maximizing operational synergies, commissioning also expected in the first part of 2023. So we invest for the future on the back of growing macro trends. Let me now on this last slide wrap up the presentation. Needless to say that we live today in a more uncertain economic and in particular geopolitical environment. For this reason I believe pricing discipline and cost control will and must remain a key area of focus for the group. Effectively, we expect inflation to remain strong and probably further grow at least in this quarter – that we are entering. Global macroeconomic outlook has been revised downwards by basically all public institutions. Still I believe the long-term potential growth of this group remains intact. The fact that the month of March was the best month in the quarter both from a sales or revenues point of view as well as profitability makes me look forward with optimism. Not only our growth profile will be supported by this new capital expenditure projects that we have launched in fast-growing markets we are working on our portfolio as you have seen in our press release. And last but just as important we believe the ecological transition will help natural minerals, replace less friendly or environmental-friendly products in the future. Thank you for your attention. I now open the floor to your questions. 
Operator: Excuse me, this is a conference operator. We will now begin the question-and-answer session. [Operator Instructions]. The first question is from Jean-Christophe Lefevre-Moulenq with CIC. Please go ahead. 
Jean-Christophe Lefevre-Moulenq : Good morning, everyone. And thank you for taking my question. I have two questions. First on pricing and secondly on costs. Pricing we have 12% price hike effect over the first quarter. Will Imerys be able to replicate or even more to increase this price effect over the coming quarters and in 2022 as a whole, first? And secondly, in terms of costs, could we quantify the energy bill of 2021 and maybe to have let's say an order of magnitude in 2022 splitting between power and combustible? In terms of power, can we have more color on your hedging policy especially in Europe where the equation is very tough. Many thanks.
Alessandro Dazza: Thank you, Jean-Christophe. I will then let Sebastian give you some figures in relation to our energy bill 2021 and 2022 with the different expectations, because we live in a very volatile market today. And so it's only a best guess as numbers swing very rapidly -- almost daily. I'll rather treat the pricing side. You've seen that the quarter has delivered a 12% price increase. As I said the month of March alone was 14%, so clearly there will be more pricing effect to come for sure in Q2. Have we reached the peak? Unfortunately, no. Our expectation that 12% maybe 13% for the full year would be enough to cover expected inflation. All these assumptions were done before -- and communicated if you recall with the earlier results -- were done before the conflict in Ukraine. These had added tensions in two directions. One is direct energy prices, especially in Europe have taken a further hit significant one. I would say probably at least another 30%.  Secondly, this energy translates into inflation in raw materials, in freights, in packaging, in chemicals, in oil-related materials and therefore, also in other input factors then energy alone. So I do expect inflation to continue -- is continuing as we talk, and therefore we will have to do another step-up in terms of pricing, probably with predominance on the European continent and we are doing this as we speak Q2. So yes, -- to answer your question yes, there will be a further step-up in pricing because it is needed to compensate increasing inflation. Second half of the year to be seen, but I don't see this trend stopping before the summer. On the cost side and on energy specifically Sebastien, do you want to give some figures? 
Sebastien Rouge: In terms of overall big figures for the group, if we look at last year energy bill was a little bit above €350 million for the group as a whole. The biggest portion of that is electricity then gas, which is less than half of electricity, then the others which can be a combination of oil or coal in some places et cetera. So that's -- we have seen already last year an acceleration of the cost in Q4 in particular and it's true that we are running at a higher and faster pace right now. We still have, I would say long-term hedging in place which compensates some of the costs. On the other hand and I think we shared that earlier in the year. We have stopped long-term hedging right now in order not to lock ourselves and our customer with very high prices. What we do is that we do more short-term hedging to take away some volatility. And we have put in place energy surcharge with most of our customers, which enable us to pass through the cost and also give us the ability to come back to more reasonable prices with the customer when the situation eases.
Jean-Christophe Lefevre-Moulenq : Follow-up question in the power and electricity, Sebastien, you are fully hedged or do you buy -- do you have a proportion -- a share of spot purchases?
Sebastien Rouge: We have always a portion of spot purchases. If we look at what we have in Q2 for example, we are a little bit -- when we start the quarter we are almost half covered. And when we go along as I said, we rebuy some hedging on a short-term basis to ensure that we can match the price surcharge with a non-volatile price.
Jean-Christophe Lefevre-Moulenq : Okay. Many thanks.
Operator: The next question is from Sven Edelfelt with ODDO. Please go ahead.
Sven Edelfelt: Yes. Good morning gentlemen. Thank you very much for taking my question. I would have three, if I may. So the first one, I remember, Alessandro, in February you are guiding for 2% to 3% volume growth in 2022. This was before the war in Ukraine. So what would be the new expectations? You also mentioned March was the stronger months. Can you perhaps share with us how much volume you had in March? Second question on Beauvoir. Can you update on the potential for lithium and other metals. I understand when BRGM is pointing for 320,000 tonne of lithium, there is a high probability for the reserve to be higher. And as well I would be interested to hear you about the cash cost to operate this mine. And then lastly, you mentioned 12% to 13% price increase to cover inflation. How much would you need to protect margin? And ultimately are you targeting to protect your margin this year?
Alessandro Dazza: Lot more than three questions, Sven, but they are all welcome. So I will try address them all. No, don't worry. We are here for -- this is the reason why we are here. So, all your questions as well as those of your colleagues are welcome. True, we said that we believe there will be volume growth this year as well when we closed the past year, of course, it was before the crisis. You read in the numbers, Russia, Ukraine represents 1.5% of our overall turnover. So if we assume best case 3%. Half of it theoretically is gone. Does it mean that I have given up? No. I still believe there is room to achieve growth. The month of March, we had a positive volume. We had negative volume in January and -- which is explicable, because at the end of last year we pushed significant price increases as of January 1. So a lot of customers purchased in advance. We had one of the best December in our history. So January suffered because of that. It recovered in February and we had a strong March. Then the crisis in Ukraine came. As said again, 1.5% is gone. That's why mathematically growth should still be there. I remain confident and we will do our best to still reach the expected growth. I'm a bit worried about the markets. You have seen that some of our markets are not showing positive numbers – steel, automotive. Again, this year we were expecting a significant recovery maybe in the second half. Today I'm much less confident of this recovery. Still volumes are holding. So I think overall the economy and our position and our actions in the markets are still giving us hope to still post positive volume growth for the year to be seen, but I've not given up. On March, I told you yes, we had a good month. We have probably the highest turnover in the company's history. A lot is based on price plus volume on the back of recent growth. It makes us still confident and I can tell you follow-up questions I assure you will come. Good levels of activity in April. So we expect another good month and the order book for May is also okay. So far, I'm more worried for the second part of the year or the summer where the full effect of inflation will percolate through to consumers, especially in Europe. That's my worry today and what I expressed in my outlook. Otherwise, as it stands today activity remains solid. Since it's related the 12% price increase growing as I said, of course, our target is to protect our margin. But we have to be a bit careful. When you increase prices 1.5%, you can do 1.8% and your margins remains intact. When you increase your price 20% to keep your margins intact, you will need to increase your price 24%. We are reaching levels that become difficult for customers to digest for consumers to accept and would basically stricken far then inflation. So at these levels of inflation, it is more difficult. But again, as for the volumes, we have not given up. And I can tell you again March was significantly better than the average of the quarter. So we are doing our job, while keeping or trying to keep a reasonable relationship with our customers. You need them also when prices go down when inflation relaxes so we want to respect this relationship, as much as possible when you have to push through some prices. And last, I do believe that eventually energy will become more normal going forward coming into the summer. And again, typically when there is this inflection, we do profit bottom line a bit more than on the growing time. Last comment on Beauvoir, on our lithium project. We spoke in February it is April. We are advancing and we are even investing more than before, but it's still a bit too early to give numbers because we do not have these numbers. Our drilling campaigns and investigation campaigns are coming to an end. So on the reserve side, probably around the summer, we will be able to give some more information. Current trend rather positive to give you a first feeling of what I see coming in every day. On the cash cost of this production, it's really too early because we are still finalizing and understanding the viability of the technology which technology and once this is decided, you can then deduct cash cost or running costs or OpEx of such an operation. So this one is probably a few months too early. This year will be key to completely assess and evaluate this project. We remain overall confident positive and excited.
Sven Edelfelt: Okay. Thank you very much.
Operator: The next question is from Adrien Tamagno with Berenberg. Please go ahead.
Adrien Tamagno: Hello. Good morning. Thank you for taking my question. I have three please. The first one would relate to the fixed cost increases we see in Q1. Is it fair to expect this €30 million or so appearing in other quarters this year or there was also an element of shutting down operations in Russia and Ukraine? That's the first one. And the other two would relate to surcharges. Within your 12% price increase, how much is the energy surcharge element for Q1? And as a follow-up, can you describe the client acceptance regarding surcharges across your verticals? Thank you.
Alessandro Dazza: Thank you, Adrien. I will then let Sebastien may be comment a bit on the surcharges. I'm not so sure it's so easy to track price increases and surcharges. But I'll let him comment as well as partly on the fixed cost. What I would like to say on fixed cost for sure there is a specific effect in Q1, which is partly Russia and Ukraine. Of course if you shut down operations, we have two in Ukraine and we have still a large sales force in Russia. No sales in front of you only fixed cost so there is for sure an impact, which is not delivering turnover. So, one that I would also not underestimate is China. And I'll give you an example, our single largest operation in China in the North it's a plant making in excess of €100 million in sales, it's been shut down for six weeks from the end of February until basically 10 days ago. Because of lockdown demand is there. We have a full order book. Simply this city was as Shanghai it is today, completely shut down. In China, there is no furlough short-time working -- you pay fully all your costs, all your people, and so on. Our distribution center for all of China is in Shanghai, a very profitable business because we distribute high-value imported goods from the rest of the world. Guess what? We have not shipped on tonne in the whole month of March or from mid-March until basically now because of the lockdown in Shanghai. So, these are effects. China alone we have estimated that this cost us between €5 million and €6 million sales in the month of March alone. So, it's significant. Fortunately, the plant I mentioned before is up and running. Shanghai is still closed, but they're closing Beijing at the moment, fortunately, no activity in Beijing. So, I do expect at the moment we are better off than we were yesterday, but really it is -- it can happen in any city in China tomorrow as long as the government policy remains the same. So, yes, some fixed costs are a bit specific of the moment others are really inflation related. Inflation is not only on variable cost, your maintenance, your spare parts, your -- all of this has been inflated by inflation frankly. And I don't know if you have specific figures on this Sebastien?
Sebastien Rouge: No, it's a little bit early to have very specific figures, but that's something that we see throughout the different geographies with both externalized labor and services and consumables that are going up as well, we see that and I think some of the other markets see that also on the construction and the CapEx. That's something where we pay specific attention because also in this field throughout the geographies the costs are rising.
Adrien Tamagno: On the surcharges, Sebastien, do you have a specific statistics?
Sebastien Rouge: No, it's difficult and we don't want to enter into too much customer-specific because here that's one of the strengths of Imerys to really adapt its pricing policies to the different markets in which we operate. And so in some places we have -- before the others put variable surcharges whether it's freight or energy for some other markets the customer preferred to have, I would say, a straight price increase at the beginning. So, we cannot give real averages. What we can say is that the more it goes the more we have a specific energy surcharge mechanism in Europe because I would say it's a problem well shared between -- inside the supply chain in Europe and we want to give transparency to our customers in this field.
Alessandro Dazza: Thank you, Sebastien. And Adrien I may add for sure surcharges is the lower part of the two. It certainly represents a lower number than the needed price increase in relation to general inflation. Last on clients. Are they happy? No. Of course as we are not happy when our suppliers come to see us and increase our prices -- our purchase prices, so far I think they understand and unhappily accept because it is not Imerys alone it's a common issue that the world has today and Europe specifically. So far so good, that's why volumes are holding even in industries where there is a decline, so far so good. I have the feeling that today also our customers manage to pass on to their customers such increases and when you see paint makers, carmakers, steelmakers announcing their results or their price increases, you have similar numbers, sometimes much higher going through and that's the way it works today. The worry is really on – at the end of the chain is the consumers. Will this have an impact on consumption when the chain has passed on to the end user, the full scale? That's why I was saying I do expect another quarter that this Q2 to remain, an high inflationary quarter. We will see where we land. We will see where consumption will be. We'll see if energy then starts turning and then we can assess better the outcome and the impacts of this year.
Adrien Tamagno: Thank you.
Operator: [Operator instructions] The next question is a follow-up from Sven Edelfelt with ODDO. Please go ahead.
Sven Edelfelt: Sorry, I have follow-up. Thanks for bring us again. So first one is on CapEx. Can you provide us with the CapEx I'd like to understand whether your new project are included in the previous guidance? And then secondly, on the Capital Market Day, you mentioned, Alessandro, to have a Capital Market Day for June, presumably as the due diligence for the Beauvoir mine is taking a little bit longer than expected. It would make sense to postpone this Capital Market Day for H2, or what's your take on that?
Alessandro Dazza: Again, I'll take the second as a first question, not because of the war, but for other reasons, especially the current general geopolitical and economic situation, we have decided to move our CMD to September. The date has been set and will be communicated, I guess in the coming days by Benson and our IR team. We have decided it's a bit safer to do it right after the summer. So, September, second part of September, it will be in Paris, and we'll be very happy to host all of you as well as our key investors. And it will be a moment where we can really look forward to the future of this company to the trends. I hope I will have more information on Beauvoir and our lithium project, I'm not sure fully, because I said we are working intensively. We have now almost 30 people working full time on the project. As I said before, we are investing even more to have certainty and to have clarity on the future. Independently from the lithium project, I think there is a lot of about the future of this company and the prospects. Therefore, the CMD will take place independently from the lithium project, and will be a good moment also to make a point on our lithium-ion exposure and growth prospects coming to your CapEx. In our previous guidance, none of the CapEx announced today were or are included. These are really new. And if I start making a little bit of the story of this business, we have announced two CapEx in 2021, €100 million, one line of carbon black in Belgium, one line of synthetic graphite in Switzerland. These two should deliver, we said, I believe, around €100 million of sales. The first one has been commissioned in Switzerland in January, the second one, the larger one will be commissioned in Q3 of this year. As I said before, they were secured with customers' contracts. Because of market growth, because of our strong position in this market and really demand and pull from the customer base, we have decided to double basically both. So, a new line in Belgium and a new line in Switzerland, typically the same size as before. So, these two should add another step-up. It will take I would say, as I said, there will be probably one at the beginning of 2023 the larger one probably more in the middle of 2023 and I will give you really more details with figures when we meet in September. But we'll add another step up in this business. Is it the end? No. It's what is I believe very positive is we remain market leader. Our product remains the reference for all the large battery makers. You read every day in the newspaper what's happening in Europe, in terms of construction of new capacities. And now, this wave is hitting America, so we really have to look big scale in the world of tomorrow. And that's what we are preparing. And that's what we will discuss. Last is this CapEx is a bit smaller. It's around €40 million. There's a new plant in China on the same site that we operate today. It's lightweighting of polymers. If you have an electric vehicle you want it to be light, so that your range your battery range is extended. And if it's not the EV, it's a normal car you want to reduce emissions. The only way is to make your vehicles lighter. Again, here we are patented the technology this so-called high aspect ratio is really the preferred solution of all large polymer makers for car parts to make them lighter, either smaller or replace steel, metals in general with plastic parts. Our international customers are asking to become local. Local customers are copying the large internationals. So the market is really growing and demanding this high-quality product. That's why we have decided to make the step. We use Imerys footprints. We have a plan. So we have management infrastructure and everything. We just add a second large building which is by the way we already broke ground with the full support of the local authorities and beginning of next year will be producing. So, they all, going in the same direction. Its green mobility is the future of mobility and energy, so, very exciting CapEx, especially the last three for sure not in the public knowledge until yesterday.
Sven Edelfelt: Okay. So in fact your CapEx would be in excess of €500 million this year.
Alessandro Dazza: No, I didn't say that. I don't think you will reach that level or no you will not reach that level. If you remember our full year results, we said that our target is to reduce our running CapEx below €300 million and we will do that. And I hope, quite significantly below. And we said we might add €150 million -- oh, sorry €50 million to €100 million on top for strategic projects. Of course, we had this new CapEx in mind. It will not be spent all this year. So yes overall, its €120 million, so more than the €100 million that we said, but it will not all be spent this year. So the €500 million number for €50 million, I don't think is a realistic number. I see more in line with what we said. But once again, for me a strategic CapEx is more comparable to an acquisition has nothing to do with current business. You add really a new business on top of your running business. So we will try in the future to give more clarity on how to run the business try to split really, recurring CapEx you need to run Imerys of today and what you put on top which is for me inorganic growth which can be an acquisition or a significant new business, like the one I just mentioned. So I think it is more correct to present in this way.
Sven Edelfelt: Okay. Understood. Thank you.
Operator: Mr. Dazza, there are no more questions registered at this time, back to you, for the closing remarks.
Alessandro Dazza: Thank you. Thank you all, for listening and giving -- dedicating time to us today. We do look at the end although some of you commented that we are a bit more cautious in our outlook, yes we are, because inflation especially in Europe is a risk to global growth. But we remain very confident, that this company will still perform very well. And we have laid the ground for -- which is even more important long-term growth. Thank you. And talk to you soon. Bye.
Sebastien Rouge: Thank you.